Operator: …statements relating to New Gold. In this respect, we refer you to our detailed cautionary note regarding forward-looking statements in the presentation. You are cautioned that actual results and future events could differ materially from those expressed or implied in forward-looking statements. Slide two provides additional information and should be reviewed. We also refer you to the section entitled Risk Factors in New Gold's latest AIF, MD&A, and other filings on SEDAR Plus, which set out certain material factors that could cause actual results to differ. In addition, at the conclusion of the presentation, there are a number of endnotes that provide important information and should be reviewed in conjunction with the material presented. I'll now turn the call over to Pat for some opening remarks. Pat?
Patrick Godin: Thanks Ankit and good morning, everyone. We had a good start to the year with the first quarter delivering as planned. We continue to see excellent health and safety performance at both operations through our Courage to Care campaign. Rainy River surpassed three million hours without a last time injury and New Afton surpassed one million hours. Our operation delivered on their quarterly plans as outlined in our operational outlook release from February. New Afton delivered strong first quarter production results. Rainy River made excellent progress on the planned waste stripping program, which will lead to unlocking higher grade ore in the second half of this year. We are one quarter away from securing the substantial increase in production and cash flow expected in the second half of the year. We also made excellent progress on key growth projects, including the first concrete four at C-Zone gyratory crusher, and we set a record on the quarterly development advance rate at Rainy River's underground Main Zone, our exploration efforts continue to ramp up as planned. At New Afton, the company made great progress on the exploration drift, which is expected to be operational for drilling in May. Q1 exploration focused on drilling D-Zone and starting drilling C-Zone [ph] from current infrastructures. At Rainy River, the exploration program is ramping up with newly identified targets and an additional $4 million will be allocated for 2024 to drill these new targets. Four drills are expected to be turning at Rainy River during Q2. New Gold is well positioned to achieve our guidance targets and deliver on our plan of sustained free cash flow generation starting in a matter of months. We are entering in a very exciting period for New Gold. With that, I will turn the call over to Keith. Keith?
Keith Murphy: Thank you, Pat. I'm on Slide six, which has our operating highlights. Q1 was another solid quarter. We produced 70,900 gold ounces and 13.3 million pounds of copper. Rainy River produced approximately 52,700 gold ounces as planned, which is based on our annual guidance breakdown, calling for a 40%-60% split over the first and second half and while advancing waste stripping. In fact taking the midpoint of our 2024 guidance range, our Q1 performance represents exactly 20% of production for the year. New Afton produced approximately 18,200 gold ounces and 13.3 million pounds of copper. This represents an 11% increase in gold and a 29% increase in copper production compared to Q1 2023. This is as the season ore is processed. Consolidated all-in sustaining costs for the quarter were $1,396 per gold ounce on a by-product basis, in line with our plan. We expect costs to trend lower in the second half of the year. At New Afton, all-in sustaining costs for the quarter of $241 per gold ounce were lower than the prior year period due to increased copper production and sales. We expect costs to trend lower throughout the year as copper sales catch up. At Rainy River, costs will be higher in the first half of the year as the pit focuses on waste stripping, in line with the plan. Cost benefited positively from an approximately $8 million inventory write-up gain, driven by increased gold prices. This positively impacted costs at Rainy River by approximately $150 per ounce. Turning to our financial results on Slide seven; first quarter revenue was approximately $192 million. Q1 revenue was lower than the prior year quarter, primarily due to planned lower sales volumes, partially offset by higher gold prices. Cash generated from operations before working capital adjustments was $73 million, or $0.11 per share for the quarter. The company recorded a net loss of approximately $44 million, or $0.06 per share during Q1. The increase in net loss as compared to the prior year quarter, was primarily driven by lower revenues and a higher unrealized loss on the Rainy River Gold Stream obligation and the New Afton free cash flow obligation. After adjusting for certain other charges, net earnings was $13 million, or $0.02 per share in Q1, compared to an adjusted net earnings of $18 million in the first quarter of 2023. The decrease in adjusted net earnings were primarily due to planned lower revenues. Our Q1 adjusted earnings include adjustments related to other gains and losses. Our total capital expenditures for the quarter were approximately $61 million, with $26 million spent on sustaining capital and $35 million on growth capital. Exploration expenditures total approximately $3.5 million before expiration tax credits, which we received. At Rainy River, total capital increased over the prior year period due to higher growth capital spent. Sustaining capital is primarily related to capitalized waste, capital components and tailings management and construction. Growth capital is related to the underground development as the underground main zone continues to advance. At New Afton, total capital decreased over the prior year period, primarily due to lower growth capital spent, sustaining capital primarily related to tailings management and stabilization activities, while growth capital primarily related to the C-Zone underground development. At the end of Q1, we had cash on hand of $157 million and a liquidity position of $530 million. We continue to execute short term hedges on CAD and fuel and are hedged at 75% for Q2 2024, 50% for Q3 and 25% for CAD in Q4. To sum up, we remain in a very healthy financial position, all while continuing to invest in our growth projects. Our operations are well positioned to leverage the higher metal price environment and generate significant free cash flow. Now I'll turn the call over to Yohann to walk through our operating highlights.
Yohann Bouchard: Thank you, Keith. Well, starting with Rainy River on Slide nine, Rainy continued to perform well, achieving another quarter in line with our plan. On the mining front, waste stripping was a focus during the quarter. This is expected to continue in the second quarter and will ultimately provide access to greater quantity of high grade ore early in the second half of the year. In the underground mine, extraction from the intrepid zone continues as planned and the development to main zone is on schedule for first ore in the second half of 2024. In fact, Rainy achieved a record quarterly development advance rate of 950 meters in the first quarter. The mill performed very well, possessing over 25,000 ton per day, almost 12% higher than Q1 of last year. The team has made tremendous progress, improving mill performance at no additional capital requirements. The right side of the slide reiterates our outlook for 2024 and the previously guided split between first and second half. This is excellent information to highlight that the first quarter performance was according to plan. We remain on track for second half production, representing approximately 60% of our annual production, mostly due to the open pit mining sequence. We have successfully transitioned from Phase 3 to Phase 4 and will continue to reclaim some lower grade stockpile in Q2, while we release higher grade ore in the pit for the second half of the year. Sustaining capital related to waste stripping will be elevated in the second quarter, before trending down in the second half of the year. Lateral development meters in the underground will ramp up throughout the year and we access additional underground mining zone and more heading become available. Slide 10 outlines progress we've made underground. The underground main zone remain on track for first ore in the second half of 2024. The priority for 2024 is to establish the primary ventilation circuit and access multiple mining zones. These two events will be key to ramping up mining rate to 5,500 ton per day by 2027. So I'd like to take a moment to address each. First, the team at Rainy did an excellent job advancing underground lateral development. A quarterly development advance rate of 950 meters was a quarterly record at the site. As additional heading open and an additional underground mining movement is delivered, development rates are expected to increase throughout the year. Second, raiseboring of a five meter diameter, 420 meter long fresh air raise as commenced in the second quarter. In addition, the construction of the in pit portal offering a second mean of egress and decreased oiling distance will commence in the second quarter of this year. Turning now to New Afton on Slide 11, New Aston has a good start to the year. B3 continued to deliver above 8,300 ton per day and the C-Zone ramp up has been going to plan, leading to a 25% increase in ton milled and a corresponding increase in gold and copper production compared to Q1 last year. The increased copper production is the primary driver of the reduced all-in sustaining cost compared to the prior year period. Looking now at the information on the right side of the slide, after one quarter, we're trending in line with the annual plan. We continue to transition from the B3 cave to C-Zone and expect to see a significant ramp up in C-Zone mining rate throughout the year. We continue to expect the higher throughput in 2024 to be partially offset by lower feed grade due to the cave draw sequence, leading to a fairly consistent quarterly gold and copper production profile as planned. B3 progress is shown on Slide 12, while commissioning of the gyratory crusher and conveyor system is on track for the second half of the year. This will eliminate hauling requirement and impact positively on cost going forward. As you can see in the picture, we are making excellent progress. The first foundation four [ph] took place in February and we've continued to build on our progress since then. We also continue to expect the cave to reach hydraulic radius in the second half of 2024. These two milestones will be transformative for New Afton, increasing production and decreasing cost to generate a substantial cash flow. I will now turn the call back to Pat.
Patrick Godin: Thank you, Yohann. So, just to sum up, operationally, we have made excellent progress and delivered the first quarter as planned. We will continue to deliver on our stated strategic goals. For 2024, this includes delivering on production and cost guidance. This result marked the seventh consecutive quarter that we have delivered to our plant. Technical excellence and operational discipline are new goals key to entering consistent quarter-over-quarter result. Just want to express all my gratitude to my colleagues for that. I think to be consistent, it means more than talent. So I'm really proud of their commitment, their teamwork and their leadership. Just want to say thank you for that. Exploration continues to advance at both sites, with the exploration drift progressing as planned at New Afton and drilling ramping up at Rainy River. We continue to focus on both extending our mine lives and identifying new prospective targets to achieve our strategic objective of a sustainable production platform of approximately 600,000 gold equivalent ounces per year. With regard to our New Afton buyback, we continue to have ongoing discussion with Teacher's as we are within our buyback period. We expect to provide market clarity with regard to the New Afton buyback later this quarter. At New Afton, we will achieve commercial production at C-Zone and commission the crusher and conveyor. At Rainy River, we will reach first ore from the underground main zone. As I said at the start of the presentation, we are one quarter away from positioning the company for a substantial and sustainable increase in production commencing in the second half of the year. This is transformative year for our company and our shareholders. This complete our presentation. I will now turn it back to the operator for the Q&A portion of the call. Sarah?
Operator: [Operator instructions] Your first question comes from the line of Mike Parkin from National Bank. Go ahead, please.
Mike Parkin: Hi, guys. I may have missed it, but could you just recap how many draw bells you have complete at C-Zone and maybe where are you hoping to be around end of Q2? It can be a range if that works and congrats on a good quarter to you, by the way.
Yohann Bouchard: Yeah, thanks, Mike, for the question here. As of the end of Q2, we had about four draw bells built and we have, I think, about 10 that already to be built, basically. So we are following the -- we are basically following the plan on that aspect. So development seems to be fat here ahead of time as well. So we're trending really well. So there's no delay, basically, as of the end of Q1.
Operator: Our next question comes from the line of Eric Winmill from Scotiabank. Go ahead, please.
Eric Winmill: Hey, Pat and team. Thanks for taking my question and nice to see the strong results this quarter. Maybe just question from me on the Rainy River exploration, obviously great to see the exploration budget increasing there. When it comes to open pit targets, any additional comments here on things like ODM East and how that compares maybe to the potential pushback on the Phase 5 and how are you thinking about the open pit targets?
Patrick Godin: No, we're processing well on this. We redo the model. So our guys did all the work prior to initiate the drilling and we'll initiate drilling. It will be a mix of diamond drilling and RC drills and the drills will mobilize. It's a question of few weeks now, in a few weeks from now and we will probably have more quality during Q3. But it's -- we initiate the program as planned. We're slightly in advance.
Eric Winmill: Okay, great. Thanks for that. And maybe just on the crusher at New Afton; so obviously concrete works are ongoing. Any other sort of critical path items or milestones here in terms of getting that up and running?
Yohann Bouchard: Yeah, I'm going to take that one here. I think it went really well. We did the first four in February and it went really well. We're still working -- we still have to do one in Q2 and we should be done after that and we're going to pass that up. We're going to pass that, putting the well [ph] together, but we have basically -- we think that we're slight ahead on schedule on that one, but, we're going to be ready in time and we have all the equipment on site as well, but there's no problem in lead time on the arrive of equipment. So we feel really good and we're hitting the milestone one after the other on that. So there's no stress there.
Eric Winmill: Okay, that's great to hear. Thanks for the color. Appreciate it. So congrats on the quarter. I'll hop back in the queue. Cheers.
Operator: [Operator instructions] We have our next question coming from the line of Anita Soni from CIBC. Go ahead, please.
Anita Soni: Hi, good morning, Patrick and team. So my first question at Rainy River, the tonnage was a little light on the ore. Is that going to pick up in the second and third quarters? I assume just because of the -- some of the sorry, the weather-related events there that you have.
Yohann Bouchard: Anita, we were not like -- thanks for the question. We were not impacted by the weather at all, actually, at Rainy. For sure, as you know, in Q2, we have limited amount of ore run of mine, I would say that come from the open pit and we have to mix with the stockpile on surface. And I would say Q2 going to be better than Q1, but overall, we don't see any concern in that aspect. In fact, we see basically extraction rate increasing, I would say in Q2 above expectation and that's going to put us in excellent position to deliver on the 40%-60% ratio this year. And I guess, hopefully it's going to put us a little bit ahead of the game at the end of this quarter. So, feeling good. I think we're managing that risk pretty well.. And I think that -- I would like to have that -- when we started, I would say Phase 4, the bench were smaller. Now we got bigger and bigger bench. So productivity is much better and as well, to move the drill around, it's easier and we're also having better drilling performance with the same equipment. So I think that the toughest part to start that phase was really behind us.
Anita Soni: Okay. And then another question with respect to the inventory adjustment at Rainy River, is that going to recur in the following quarters or was that just a one-time adjustment?
Keith Murphy: Yeah, that was an adjustment in the first quarter due to the value we assigned to the low grade stockpile and we use a medium term price, and we don't expect there to be mark-to-market adjustments significant to rest of the year.
Anita Soni: Okay. And then lastly, on New Afton, the tonnage is running just slightly ahead of, I guess, what I would have expected. It seems like if you continue to deliver an even, an even year in terms of production guidance quarter-over-quarter, you're going to end up near or a little over the top end on New Afton. Do you expect Q2 to moderate a little bit, so that you're closer to that 50%-50%, or right now, are you sort of, is the plan to operating better than expected, could we be gearing towards the top end?
Yohann Bouchard: Yeah. Anita, in our view, for sure we're going to see some fluctuation quarter-over-quarter, but not so much. But basically we see a stable production at New Afton, between the second and the first and the second half of the year.
Anita Soni: Okay, thank you. That's it for my questions.
Yohann Bouchard: And also, don't forget, we have, we do have processing capacity. So, if we have, we can really like manage our grade and throughput and be able to hit the target production without any problem. It's not…
Anita Soni: Okay. Thank you very much. Congrats on a good quarter.
Operator: Thank you. There are no further questions at this time. I'd now like to turn the call back over to Mr. Shah for final closing comments.
Ankit Shah: Great. Thank you, Laura. And to all of you who have joined us today, thanks again. As always, should you have additional questions, please do not hesitate to reach out to us by phone or email. Have a great day.
Operator: Thank you, sir. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a lovely day.